Graham Chipchase: Good morning, everyone. I'd like to welcome you to Brambles' Full year Results Presentation for FY '24. I'll start this morning by presenting an overview of our performance for the year, provide further details on our newly announced capital management initiatives and our revised investor value proposition. Then I'll touch on the operating environment, update on our transformation program and outlook for FY '25 before handing over to Joaquin for a detailed review of our financials. Beginning on Slide 3 and our highlights for the year. In FY '24 our performance was strong across all aspects of the business. The financial results delivered on our investor value proposition, with sales revenue growth of 7%, significant operating leverage and a material improvement in free cash flow generation. Underlying profit growth of 17% and free cash flow before dividends of USD 882.8 million were both ahead of our FY '24 guidance. This reflected ongoing commercial discipline to recover the cost to serve and structural improvements in asset efficiency during the year. These results underpin the 30% uplift in total dividends, which increased to USD 0.34 per share in FY '24 and resulted in a dividend yield of 3%. I'm equally proud of the improvements we've made to our business fundamentals through our transformation program. These achievements strengthen our competitive advantage and value creation potential into the future and include significant improvements to our customer experience in all regions, translating to increases in net promoter scores, the reinforcement of our leading sustainability credentials as we progress towards our FY '25 sustainability targets, and a step change in the capital intensity of our business, which has led to the decision to undertake capital management initiatives in FY '25. Turning to Slide 4. Before I talk about the FY '24 operating environment and performance, I'd like to go through our newly announced capital management initiatives and our revised investor value proposition over the next 2 slides. The improvement in the capital intensity of our business is evident in the material increase in our free cash flow generation, and the expectation of this continuing into FY '25. Combined with a current leverage position of 1.12x net debt to EBITDA, this improvement has led to the 2 capital management initiatives we have announced today. The first being to increase the target dividend payout range from 45% to 60% currently, to 50% to 70% from FY '25. This dividend policy provides flexibility and creates a strong link between the performance of the business over time and annual cash returns to our shareholders. Our second initiative is an on-market share buyback of up to USD 500 million in FY '25 subject to market conditions. Both of these initiatives are aligned with the capital allocation framework, which now forms part of our investor value position proposition outlined on Slide 5. Most of you will be familiar with the left-hand side of this graphic, which articulates the value creation model of our business. This centers on our circular share and reuse model that leverages our network advantage and expertise to achieve operational and asset efficiencies that in turn generate free cash flow we can use to fund growth and shareholder returns. With the structural increase in free cash flow generation we have embedded our capital allocation framework into our investor value proposition, which seeks to maximize shareholder value through an active and disciplined approach to allocating capital. Under this framework, we will continue to prioritize reinvestment in the business to fund growth and initiatives that optimize and transform our operations. These investments are expected to consistently deliver annual revenue growth in the mid-single digits with operating leverage and strong cash flow generation. When assessing growth options, we will consider both organic and inorganic opportunities. However, given our leading market position in all regions, we expect inorganic growth initiatives to be limited, and we will maintain a disciplined approach to evaluating such opportunities. Maintaining a strong balance sheet continues to be a priority, and we have set a medium-term net debt to EBITDA target of between 1.5 to 2x. We believe this is a prudent and optimal level of leverage for our business, which also supports our investment-grade credit rating. After funding reinvestments in the business and maintaining a strong balance sheet, we will focus on shareholder returns, firstly through sustainable dividends in line with our revised policy, and secondly through the deployment surplus capital to optimize our capital structure and create incremental shareholder value. This strategy has led to our decision today to undertake an on-market buyback in FY '25. By allocating capital in accordance with this framework, we expect to deliver total value for shareholders in excess of 10% per annum, while maintaining group ROCI in the high teens. Moving to the next slide and back to the FY '24 operating environment. Our FY '24 results were delivered in markedly different operating conditions to those experienced over the last few years. This included inventory optimization across retailer and manufacturer supply chains in Europe and North America, which we now believe to be largely complete. During the year, the overall rate of input cost inflation moderated from the extraordinary highs of the last few years. This was reflected in lumber and fuel deflation in all markets, and lower transport costs in the U.S. The capital cost of new pallets has also fallen 15% on the prior year, although it remains higher than historic levels. While these dynamics saw the rate of price growth moderate from prior-year levels, we continue to exercise commercial discipline and took price in the year to recover cost-to-serve increases largely related to labor inflation which persisted in all markets. Inventory optimization contributed to more efficient pallet dynamics, primarily due to widespread pallet availability increases across the industry as retailers and manufacturers reduced pallet balances to near pre-COVID levels in Europe and North America. This led to 12 million pallets returning back to our network in these markets. Combined with our ongoing efforts in asset efficiency, this supported the significant improvement in pallet cycle times and loss rates within customer supply chains in FY '24. These more efficient pallet dynamics materially improved our capital efficiency with 15 million fewer new pallet purchases during the year. Importantly, the capital efficiency benefits are materially higher than the increase in operating costs associated with higher pallet returns and recoveries. With improving pallet availability, our business was able to pursue and win new business during the year. However, dual sourcing initiatives by some larger customers offset contributions from new contract wins in the period, while declining whitewood prices delayed the decision to convert to pooling by some prospective customers. In addition to weak macroeconomic conditions and the impact of inventory optimization, these factors limited our volume growth in the year. Turning to the next slide. The progress we've made with transformation has been critical in creating stability and increasing our resilience in this evolving operating landscape. Among our key achievements have been those directly benefiting our customers. These include improving service levels and investing in the quality of our pool to reinforce the fundamentals of our customer value proposition. Delivering on these core elements of our proposition has been a key driver of the improvement to our customer metrics, including net promoter score, which increased materially across all regions. Our teams remain focused on improving the customer experience through faster resolution of customer queries, adding digital capabilities such as real-time delivery notifications to our customer portals and leveraging our evolving data analytics capability to progressively roll out proactive ordering. Our automation investments are delivering cost savings whilst also improving the efficiency, quality and safety performance across our operations. Importantly, they have added critical capacity across our network, which enabled us to absorb the high volume of pallet returns from inventory optimization and continue delivering for our customers. Through structural changes made to how we collect, repair and incentivize the efficient use of our assets, we recovered and salvaged an additional 16 million pallets in FY '24. This is a substantial improvement on the strong result of 10 million pallets achieved in FY '23. These processes and commercial terms are now embedded across the business and crucially underpin our confidence in the structural improvements we have made to asset efficiency and free cash flow generation. As we optimize the performance of our business, we are also reinvesting to shape the Brambles of the future through our digital transformation. Our data analytics capabilities are now an integral part of our organization, and we continue to test, learn and adapt our approach to deploying and extracting value from different asset tracking technologies. You will see some of our achievements outlined in the slide, but the key thing I want to highlight is that our digital capabilities have been a critical enabler of our customer, commercial and asset productivity achievements this year. At our Investor Day in September, we will take the opportunity to detail the ways in which our digital transformation has improved our business, the value it has created and how it is setting us up for future success. Turning to our transformation scorecard on the next slide. You'll see many of our metrics are complete, while others are progressing and remain on track. This has supported the business and been a key driver of our financial and operational success over the last few years. However, adverse operating conditions have impacted the progress on some metrics, and we continue to implement various initiatives to address those shortfalls. In customer, Joaquin will cover our volume performance in more detail, so I'll move straight to product quality. Here, the defects per million pallets improved by 10% against the FY '20 baseline, but this remains 3% behind target. There are plans in place to improve controls in a number of plants to deliver the appropriate pallet quality to customers. Despite the benefits from pallet durability initiatives, pallets have spent an extended period in the supply chain, leading to higher damage rates in FY '24. As a result, we've been challenged on our target to reduce the pallet damage ratio by 75 basis points year-on-year through FY '25. However, we expect ongoing durability initiatives and improving cycle times to support efforts to reduce damage rate. Finally, looking at business excellence. We've continued to make progress towards our target of at least 40% of women in management roles with female representation now at 37.5%. This represents a 6-point improvement since FY '21. However, we are tracking below target and have strategies in place to hire, retain and engage female employees to progress towards achieving our target. The next slide outlines the pathways to achieve our FY '25 target of reducing uncompensated pallet losses by 30% and implementing automated repair processes across our service centers. Starting with uncompensated pallet losses, you can see the significant improvement achieved this year, which is also the first reduction in uncompensated losses since FY '16. This improvement was driven by greater pallet availability, leading to lower unauthorized reuse and loss rates as well as asset efficiency initiatives that increase collections and shortened cycle times. Notwithstanding these improvements, we are currently tracking below the target, but our strong exit rate in the second half of FY '24 and continued benefits from asset productivity initiatives underpin our expectation of achieving this target by the end of FY '25. Moving to automation. Our FY '25 target for automated repair installations across the network was revised from 70 to 50 sites in FY '23, following a site-by-site return assessment and exercising capital allocation discipline. We implemented 8 automated repair processes in FY '24 and expect to implement 36 by the end of FY '25. However, we continue to invest in other efficiency and supply chain initiatives to compensate for the returns not generated from the site where automated repair process is no longer being pursued. Moving to Slide 10, which outlines some of our sustainability achievements for the year. During FY '24, we made considerable progress against our FY '25 sustainability targets, moving ever closer towards our ambitious regenerative vision. We are proud to operate a circular business that supports the reduction of emissions in thousands of customer supply chains across the world. In FY '24, working with our customers and partners, we collectively removed 1.9 megatons of CO2 emissions. Decarbonizing our own supply chain also remains a core focus for our low carbon operations. Across our entire value chain, representing scope 1, 2 and 3 emissions, we have achieved a 7.9% reduction in greenhouse gas emissions against FY '23 and a 15% reduction on our FY '20 baseline. We continue to track ahead of the glide path to deliver our 2030 science-based target and 2040 net zero target. Our strong safety culture was demonstrated again in FY '24 as we reduced our injury frequency rate by nearly 24%, marking our fifth continuous year of reduction. Through our community initiatives, we have contributed a total value of USD 9.4 million back to the communities where we operate. This includes volunteering leave for employees, financial donation and in-kind support, including through our support of food bank organizations, which facilitated meals for 20.6 million people facing food insecurity in FY '24. It is a huge credit to our sustainability program and the employees who work to support it, that we have continued to be recognized for our efforts and strengthen our leadership in sustainability. This year, we advanced to #2 in Corporate Knights Global 100 list and were ranked fourth in Time magazine's inaugural list of the world's most sustainable companies. Moving to Slide 11 and our FY '25 outlook. For the year ahead, we expect sales revenue growth of between 4% and 6% at constant currency. Our expectation for underlying profit growth is between 8% to 11% at constant currency. Both these figures sit firmly within our investor value proposition. Free cash flow before dividends is expected to be between USD 750 million and USD 850 million, supporting the increased dividend payout range and on-market share buyback I outlined earlier. I would now like to hand over to Joaquin to run you through the financials as well as provide further information on the considerations that underpin our FY '25 outlook.
Joaquin Gil: Thanks, Graham, and good morning, everyone. Before diving into the detail of our FY '24 financial results, I wanted to touch on the key drivers of the year-on-year performance, which will be reoccurring themes as we move through the slides. As Graham mentioned, we continue to focus on commercial discipline and aligning our pricing with the cost to serve. With ongoing cost-to-serve increases in FY '24, we delivered a new price realization of 3%, which was consistent throughout the year and continued in the fourth quarter. Importantly, this alignment includes all the work we have done to link pricing to asset productivity in order to incentivize the efficient use of our assets across customer supply chains. This link, combined with other asset productivity initiatives and the improvement in overall market conditions has led to $105 million or a 37% decrease in our IPEP expense in FY '24, which reflects the progress we made in reducing uncompensated pallet losses and in increasing asset compensations. Linked to this is the 10-point improvement in the pooling CapEx to sales ratio to 13% in FY '24, in line with our guidance. Our ongoing commercial discipline, combined with improvements in asset efficiency contributed to the 1.8 percentage point increase in group profit margins this year and the $385 million increase in free cash flow before dividends. As Graham outlined, the structural improvements we have made to the business delivered total value creation for shareholders of over 10%. Turning to Slide 14 and an overview of our full-year results. I will outline our sales and underlying profit performance in more detail shortly, but wanted to take the opportunity on this slide to highlight the key things to know about our profit after tax and EPS performance. Profit after tax from continuing operations increased 17%, in line with operating profit and included an 11% increase in net financing costs, which reflects the full year impact of the 8-year EUR 500 million green bond issued in March 2023 and higher discount rates on lease renewals and extensions. The effective tax rate of 30.5% increased from 30.1% in FY '23, mainly due to the full year impact of the U.K. tax rate increase from 1st of April 2023. Profit after tax included a noncash hyperinflation charge of $8.4 million, which relates to our operations in Turkey, Argentina and Zimbabwe. This charge reflects a revised approach to accounting for hyperinflation following an annual review of our accounting policies and to align with market practices. The FY '23 comparatives have been restated accordingly. Appendix 3 provides specific details about our revised approach. But at a high level, the inflationary impacts on nonmonetary net assets, which was previously recognized in the P&L will now be recognized in equity on our balance sheet along with the FX impacts on all net assets. The inflationary impacts on monetary net assets and P&L items will continue being recognized in the P&L, and this is what the $8.4 million charge relates to. Looking at group revenue growth in more detail on Slide 15. Group sales revenue increased 7%, driven by price realization. This included a 4 percentage point rollover contribution from prior-year pricing actions and in new price realization of 3%. Current year pricing included mix impacts associated with the link between customer pricing and asset efficiency metrics. With the improvements in asset efficiency, we have seen lower contributions from pricing mechanisms linked to cycle times and loss rates in customer supply chains where these metrics improved. Like-for-like volumes in the period were flat and included a 1 point adverse impact linked to inventory optimization in North America and Europe. Excluding the impact of inventory optimization, like-for-like volumes increased 1% as growth from existing customers in Australia and U.S. Pallets businesses more than offset lower pallet volumes in Europe due to softening consumer demand. Net new business growth in the period was also flat as the contribution from new contract wins in most markets was offset by the factors Graham outlined earlier. Pleasingly, we saw an improvement in fourth quarter volumes as we cycle through the impacts of inventory optimization, dual sourcing having moderated in the second half and whitewood prices stabilizing with some very early signs of increases in certain markets. These factors inform our expectation of positive volume growth in FY '25. Turning to Slide 16 and group underlying profit, which increased 17% in the year. As you can see, the sales contribution to profit of $403 million, combined with a material reduction in IPEP offset cost increases associated with inflation, higher pallet return rates and investments in transformation initiatives. North American surcharge income decreased $38 million, in line with moderating market prices for lumber, fuel and transport in this region. Combined plant and transport costs increased by $163 million and included inflationary impacts of approximately $65 million, primarily due to rising labor costs, which were partly offset by deflation in lumber, fuel and U.S. transport costs. The balance of the plant and transport cost increase related to investment in both pallet quality and customer experience initiatives as well as repair, handling, storage and transport costs linked to inventory optimization. These cost increases were partly offset by automation and operational efficiencies. Depreciation increased $46 million, largely driven by the impact of pallet price inflation on the value of assets added to the pool over the preceding 12 months. Other cost increases of $48 million reflect overhead wage inflation and headcount increases to support growth and the delivery of overall transformation benefits. These costs were partly offset by higher asset compensations. Lastly, shaping our future transformation costs increased $21 million as higher ongoing corporate transformation costs, including investments in digital, asset productivity and customer service initiatives were offset by a $23 million reduction in short-term transformation costs, which concluded in the prior year. Turning to asset efficiency on Slide 17 and the significant improvement in our pooling CapEx to sales ratio, which reduced 10 points in the year, driven by 15 million fewer pallet purchases, lumber deflation and the impact of higher revenue in the year. The $15 million reduction in the number of pallet purchases resulted in a $436 million decrease in pooling capital expenditure. Pleasingly, 8 million fewer pallet purchases in the year reflected a step change in the capital intensity of our business as we recovered more pallets through asset efficiency initiatives. The balance relates to the benefit of utilizing 7 of the 12 million pallets returned through inventory optimization. The residual 5 million pallets remain in storage in North America and are expected to deliver capital expenditure benefits in FY '25. The impact of lumber deflation reduced our capital expenditure in the year by approximately USD 150 million. Inventory optimization reduced the pooling CapEx to sales ratio by 2 points. Excluding this benefit, the FY '24 pooling capital expenditure was approximately 15%. Turning to free cash flow. We delivered $883 million of free cash flow before dividends, an increase of $385 million on the prior year. The key driver of this increase was the $523 million reduction in cash capital expenditure outlined earlier. The combined movements in working capital and other cash flow items decreased $199 million and included the reversal of FY '23 timing benefits of $90 million, with the balance of the decrease primarily due to movements in deferred revenue and noncash adjustments, mainly relating to asset disposals. Cash flow from discontinued operations declined $37 million on the prior year comparative, which benefited from the $41.5 million final settlement from First Reserve. The $108 million increase in financing costs and tax was largely driven by additional tax payments due to increased profit and higher Australian tax installments. Moving to Slide 19. As noted earlier, a number of one-off items impacted free cash flow. Inventory optimization resulted in CapEx benefits of $160 million relating to approximately 7 million pallets, which were utilized in the period to support business demands. This benefit was partly offset by the reversal of FY '23 timing benefits of approximately $90 million. Adjusting for these items, normalized FY '24 free cash flow before dividends was $813 million. Turning to Slide 20 and our segment performance, starting with the results for CHEP Americas. The Americas segment delivered sales revenue growth of 6%, reflecting both in-year pricing and rollover contributions and pricing actions taken in FY '23. Volumes were flat as growth in Canada and Latin America was offset by the impact of inventory optimization on like-for-like volumes in the U.S. Underlying profit increased 23% and margin increased 2.6 percentage points. Profit growth reflected pricing and commercial initiatives, operational efficiencies and asset efficiency benefits driving lower IPEP. This was partly offset by additional costs associated with higher pallet returns, including additional storage costs, lower surcharge income and increased investments in asset productivity and other transformation initiatives. Return on capital invested improved 3.1 percentage points, driven by increased earnings, partly offset by a 5% increase in average invested capital, which reflects the addition of higher priced pallets to the pool compared to the value of assets written off. Turning to the revenue profile of the U.S. pallets business on Slide 21. Sales revenue for the U.S. pallet business increased 7%, reflecting price realization with a 3 percentage point contribution from in-year pricing actions and rollover contributions from prior year, delivering 4 percentage points of growth. Like-for-like volumes in the period were flat due to inventory optimization. Excluding this impact, like-for-like volumes increased 1%, referring growth in produce, beverage and protein sectors. Briefly covering historical like-for-like volumes. FY '22 and FY '23 included the impact of pallet availability challenges, while FY '21 benefited from COVID-19-related demand increases. Net new business volumes in the period were flat as modest customer wins, largely small and medium enterprises were offset by some volume loss due to dual sourcing primarily in half 1, whitewood price deflation delaying pooling conversions and rollover impacts of prior-year losses. In line with my comments on quarter 4 group volume performance, U.S. volumes for the fourth quarter increased 1% with modest organic growth and net new business wins. Turning to the EMEA region on Slide 22. CHEP EMEA delivered sales revenue growth of 7%, driven by a price growth of 7% as volumes remained in line with FY '23, reflecting inventory optimization and softening consumer demand in the European pallet business. Underlying profit increased 15%, with margins improving by 1.8 percentage points. This was primarily driven by sales flow-through to profit, transport and automation efficiencies and higher pallet compensations, which offset increases associated with labor inflation, costs associated with higher pallet return rates and additional investments to support asset productivity and transformation initiatives. ROCI in the period improved 3.1 percentage points, reflecting the strong profit growth and improved capital efficiency, including the benefit of inventory optimization and asset productivity improvements driving fewer pallet purchases. CHEP APAC delivered sales revenue growth of 9%, including price growth of 6%, driven by both current and prior-year pricing actions and volume growth of 3%, mainly with existing customers in Australia, driven by improved pallet circulation in FY '24. Underlying profit increased 5% on a strong prior-year comparative, which included one-off insurance proceeds of $8 million. Excluding prior year one-offs, underlying profit growth of 10%, reflected sales growth and higher pallet compensations, partly offset by costs associated with improved pallet circulation in Australia and inflation. ROCI decreased 0.9 percentage points or when excluding one-offs, ROCI increased 0.6 points on the prior year. Profit growth in the period, adjusted for the one-off proceeds more than offset the 8% increase in ACI, which included the impact of pallet purchases in FY '23 and FY '24 to service customer demand and higher lease costs, including new property leases taken out in the period. I will now take you through the corporate segment on Slide 24. Overall costs in the corporate segment increased $29 million, largely due to a $21 million increase in Shaping Our Future spend. The increase includes an additional $32 million investment to support the digital transformation, largely relating to additional headcount in asset digitization and data analytics. Investments in other transformation activities increased $11 million, mainly relating to customer experience initiatives and transformation delivery. These increases were offset by a $23 million reduction in short-term transformation costs which concluded in FY '23. Other corporate costs increased $8 million, reflecting labor-related cost increases, including wage inflation. Turning now to our group guidance for FY '25. We expect sales revenue growth between 4% and 6%, with a balanced contribution from both price and volume. Underlying profit growth of 8% to 11% includes expansion in the EMEA, APAC and group profit margins. Americas margins are expected to remain in line with FY '24 as we continue to invest in customer and other transformation initiatives. At a group level, benefits from supply chain initiatives are expected to be partly offset by incremental spend relating to customer experience and quality initiatives. Surcharge income is expected to be broadly in line with FY '24 levels, and we expect to see further improvements on the IPEP expense, reflecting continued improvements in asset efficiency. However, the benefit of lower pallet losses is expected to be partly offset by higher unit cost of pallets written off. Shaping our future spend in FY '25 is expected to increase to approximately $150 million, which includes approximately $110 million relating to digital spend to support data analytics capabilities and the smart asset strategy. Moving to Slide 26. In FY '25, we expect to deliver $750 million to $850 million in free cash flow before dividends, with pooling CapEx to sales of approximately 13% to 15%, which includes the benefit of utilizing 5 million pallets currently in storage in North America at the end of FY '24. Nonpooling capital expenditure is expected to increase $130 million, which includes an additional $70 million relating to incremental digital investments as well as additional supply chain investments relating to automation, pallet durability and network optimization. FY '25 ROCI is expected to improve by approximately 1 percentage point from FY '24 levels. In summary, we are pleased with our performance this year, which reflects fundamental improvements across all aspects of our business. We exit FY '24 with improved momentum in key areas of the business that provide us confidence in our FY '25 outlook. The structural improvements we have made to free cash flow generation, combined with our strong financial position has led to us announcing capital management initiatives in FY '25. These initiatives are aligned with our active approach to shareholder value creation, which underpins our investor value proposition. I will now hand over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from Andre Fromyhr with UBS.
Andre Fromyhr: My first question is about the free cash flow outlook into next year. And I appreciate the normalization adjustments that you've presented on Slide 19 for FY '24. But as we look into the guidance of $750 million to $850 million next year, just wondering if you could talk through some of the moving parts there, midpoint of $800 million is roughly in line with that normalized number that you present to '24. But am I right in saying that there's still got to be some CapEx benefits from the $5 million for remaining pallets in FY '24, but at the same time you're spending more on nonpooling. Just wondering if you could talk through some of the moving parts, I guess from '24 to '25.
Joaquin Gil: Yes. Thanks, Andre, and good morning. Just covering off that question really about the cash flow forecast for next year. I think we've given that guidance range of 13 to 15 percentage points of sales. And you're right, there's $5 million of inventory optimization pallets that we will use in FY '25. So the way I look at that is if you were to normalize that 14%, then it's running at about 15.5%, which is obviously still below the target we had at Investor Day in 2021 when we said 17%. And then the other comment you made is exactly right. So our non-higher CapEx spend in FY '25, we've guided to up $130 million. So that is a continuation of automation spend and also digital spend.
Andre Fromyhr: Okay. And then my other question is specifically around the sort of margin expansion. We can see in FY '24 the lower IPEP was a strong driver of that margin expansion. And you've called it out as one part of the story for FY '25, the operating leverage that you've guided for there. But maybe you could help us understand how significant a part of the margin story is IPEP going to be in FY '25? Or is IPEP now at a sustainable level if we're comparing it to sales?
Joaquin Gil: I think there’s still an opportunity in asset efficiency and IPEP. What you see heading into FY ‘25 is that we still expect to reduce the number of units on an uncompensated loss basis. But obviously, the average cost of pallets that will be written off increases, obviously, as we cycle a period of high lumber inflation. So you should expect to still see a benefit from IPEP, but it won’t be anywhere near as big as the benefit that we’ve had in FY ‘24. I think then what you see driving our operating leverage next year is really operational efficiencies in supply chain. And you’ll see also that we’ve guided to overheads being flat year-on-year, excluding shaping our future. So again, you can see that sort of cost management, productivity and efficiency that we’re driving to drive leverage while we continue a disciplined approach to a recovery of cost to serve.
Operator: Your next question comes from Matt Ryan with Barrenjoey.
Matt Ryan: Just coming back to comments on CapEx. I think within the Shaping Our Future comments, you were talking about 16 million pallet salvaged up from 10 million a year before. So how does that sort of feed into your CapEx expectations? And I mean, do you think that, that 16 million was including anything one-off in nature? Or do you think that's a reasonable number to sort of think about moving forward?
Joaquin Gil: Yes. I think as we move forward, we still see an opportunity to improve that number through asset recovery and go-to-market. And I think as you touched on, Matt, the benefits that we're getting through digital, both data analytics and the data that we get from continuous and targeted diagnostics or the GPS units that help us track pallets, we still see further runway on that. It's just a more gradual progression than it has been up until now.
Matt Ryan: Okay. That's helpful. And you made a comment that the fourth quarter OEMs in the U.S. were up 1%. That's obviously a decent improvement in what you've been tracking at. So can you just help us to understand what was going on in that quarter? How does that look within your guidance for next year?
Joaquin Gil: Yes, Matt, what we were trying to help there with is, obviously, you can see that we're guiding to volume growth in FY '25. And so as we've got to that fourth quarter in the U.S., we're cycling periods of destocking, so like-for-like growth improves. And then also we're seeing positive net new business wins as we obviously cycle the rollover losses from the year before. So how we look at it is that we've got good volume momentum both in the U.S. and across the group as we head into FY '25.
Matt Ryan: Got it. And can I just clarify the IPEP guidance? Just coming back to the question a minute ago. The second half was a big improvement on the first half. Are you sort of suggesting there's another improvement on the second half? Or you're just simply saying that you'll have a year-on-year improvement in '25 versus '24?
Joaquin Gil: Matt, I'd say the full year is what we're guiding to rather than the half. So obviously you saw a significant improvement in the second half. Well, that will flow through into the first half. So year-on-year for the full year, you should expect an improvement in IPEP.
Operator: Your next question comes from Justin Barratt with CLSA.
Justin Barratt: Just wanted to ask, you made a comment in your presentation just around the competitive dynamic, very consistent with what you sort of highlighted in the first half. I just wanted to understand more broadly, has that competitive dynamic? Is it increasing in its intensity? Is it easing? Or is it sort of flat compared to where it was 6 months ago?
Graham Chipchase: So I would say, overall, there's not much change. But I think there are a couple of things which are moving perhaps in a slightly more favorable direction for us. I think we called some of these out. One is the -- we're seeing a sort of slightly lower intensity of customers wanting to switch to dual sourcing. We saw a lot more of that in the first half of '24, saw a lot less in the second half. So we're hoping that's sort of becoming less of an issue. And similarly, we're seeing signs that the whitewood price in the U.S. in particular has certainly stabilized. It might be now moving slightly in the upward direction, which will help a little bit with the conversion rate from people using whitewood moving to pool. So both of those things are helpful. But when we look at the rest of the competitive landscape in terms of the other pooling competitors, I don't think there's any change really since 6 months ago. It's competitive, but it's not irrational. So I think it's a situation normal from that perspective.
Justin Barratt: Fantastic. And then the other one I just wanted to ask, I think you sort of guided more to around 13 million to 14 million pallet returns for FY '24, and you ended up only getting 12 million pallets back. Is that due to, I guess, surprises in the uplift in volumes in the fourth quarter? Or I'm just trying to understand why you got slightly less pallets back than what you're anticipating?
Joaquin Gil: Yes, Justin, as you know, forecasting is a challenging thing, and particularly inventory optimization. So it was based on the best information we had at the time. And look, we were slightly wrong. We got slightly less pallets back. I think the big benefit for us is that we’ve done a lot of work over the last couple of years to manage our CapEx purchasing. So we’re able to flex up and down to allow for the quantities that come back. So it was just a question that we saw slightly less pallets come back.
Operator: Your next question comes from Anthony Longo with JPMorgan.
Anthony Longo: Just wanted to ask a question on pricing. Again, that was extremely strong throughout the year, and ultimately you got 3% realization for new contracts struck during the year. I mean how are you sort of thinking now about cost to serve and the pricing outlook going forward given that you have really sort of spoken to commercial discipline a number of times on this call that far?
Graham Chipchase: Yes. I mean I think what we're seeing is that there is still labor inflation pretty much everywhere around the world, and it's sort of in that mid-single digits, I guess, roughly, roughly. So we still think that the cost to serve are increasing, driven largely by that. And as a result, and particularly some of it we get through a contractual mechanism anyway, we should be making sure that we recover that. I mean having said that, as we know, the environment for our customers and the retailers is pretty tough out there at the moment. And I think what we -- is incumbent on us then is to start upping our game on our own productivity and our operational excellence, making sure that we're not letting overheads runaway themselves. So I think there's a bit of self-help we have to do too. But to the extent that the cost to serve does increase through things like labor, we are still aiming to recover that. And as you saw in the FY '24 numbers, we have been doing that through this year from that in-year pricing. That is largely driven by cost of sales being increasing due to labor. So I think again, we don't see much change going forward based on that sort of information.
Anthony Longo: That's great. And then just a follow-up again on the pooling CapEx to sales ratio. On the call thus far, you've really highlighted a step change a number of times thus far in terms of your cash flows and what that looks like going forward and in the context of the pallets that have come back. I mean how are you thinking about this business now going forward from a free cash flow after dividend perspective? And then even that the ROCI target that you've given for next year, I mean, that's well north of what you've generated historically on an increased investment base. I mean how are you sort of thinking about all those dynamics together going forward?
Joaquin Gil: Yes. I think as you've touched on, we feel that we've sort of made a structural change in terms of asset productivity and efficiency. And I think to the earlier question around pricing, I think one of the things that we've done really well is align our pricing mechanism to asset efficiency in terms of losses and cycle time. So I think you can see our cash flow performance in FY '24 and what we're guiding to FY '25. So subject to operating conditions, et cetera, that's -- we're comfortable in terms of our free cash flow going forward. I think the other thing that for me gives us confidence is, one, you can see the improvement, obviously, in IPEP and in CapEx to sales. But I think also what's really helpful is the progress that we've made on asset productivity is literally hundreds and hundreds of initiatives. So it's not dependent on one initiative. So hence, if one initiative under-delivers, then there's a range of other initiatives that help us over-deliver. So I think, again, just reiterating at that 2021 Investor Day, we thought the run rate for CapEx to sales was about 17%, and now we're confident that it's below that number.
Graham Chipchase: And I think the sort of broader message we're trying to get across here is that -- and given the institutional history with Brambles, everyone knows that we have this history of doing a couple of years of good stuff and then it goes a bit backwards. We're really confident now that we've made changes in the business model to make the business much more resilient. And that is manifesting itself in the cash flow generation. That was always the challenge, it was always the target, was to get the cash generation up. And we were sort of highlighting a year ago we thought we were getting there, but because of the history, we wanted to at least do a couple of years in a row. I think what you're hearing us now say is the combination of actually delivering the second year and going out with the capital management initiatives, that should be a signal that we are much more confident that we have changed the business for the better in terms of the fundamentals. And I think that's what we're trying to get across without getting to triumphant about it because clearly 2 years is only 2 years. But yes, that's where I think we are. And it's driven, as Joaquin said, by a host of projects and initiatives and a lot of them driven by data analytics and digital, but a lot of them driven by sort of more normal things like more trucks and more people on the ground. So it's a whole combination across a whole scope of different technologies and actions, and that's what gives us the confidence, I think, that this is a sustainable change that we're seeing.
Operator: Your next question comes from Owen Birrell with RBC.
Owen Birrell: Sorry to, I guess, linger on this point. But second half '24 IPEP to sales looks like it fell down to roughly about 1.4%. Now that's, assuming my calculations are correct, that's well below historic levels of around sort of 2% to 3%. I just wanted to understand, is that driven principally by the reduction in absolute losses? Or is there a material shift in the uncompensated to compensated ratio of those losses? And then I guess a question, I guess, back to sort of Andre's point around how sustainable is that 1.4% into FY '25?
Joaquin Gil: Yes. Thanks, Owen. I think just touching on a couple of your questions there. It's both a combination of losing less pallets. And obviously, that's the first prize, and that's what we strive for. And then where pallets are lost then being compensated for those. So the improvement in IPEP is a combination of both of those. And then what I would say is --
Owen Birrell: Is it more skewed to one or the other? Sorry, can I just ask, is it skewed to more one than the other? Reduction in losses is where it's skewed, but we have done a better job, obviously, in compensations as well. And then I think I'd be a little careful on your percentage in halves. It depends on timing of orders to customers, et cetera, et cetera. So the way I look at it, and we don't use this metric internally, but I know a lot of you do, which is if you look at FY '23 IPEP as a percentage of sales, it was at 4.7%. Then if you look at FY '24, we're at 2.8%. And then if you go back historically, a period when I had hair, it was at about 2%, right? So for me, what that tells us is, yes, we've made a significant improvement. But over time, we still have an opportunity for further improvement to hopefully get back to that 2% number.
Owen Birrell: That's excellent. And just another question, if I may. One line in the slide pack talks about commercial solutions signed with 2 digital customer solutions. Just wondering if you can give us a bit of color around what those customer solutions are. Are they external customer solutions? And is that different from, I guess, your -- the core business?
Graham Chipchase: Yes. So what we had plan to do is give you a lot more color when we get to Investor Day, but let me briefly say what it is. It's not our traditional business in the extent that it's not about renting a pallet, it's about digitizing pallets for an existing customer, but doing it in a way which gives them much more insight as to what's going on with the flow of products on the pallet so that they can intervene much more quickly and, for example, extend shelf life. So it is a new type of business for us. It's one which is clearly solving problems that our customers are having where they are -- where there's a value destruction. Therefore, it's a real value-creation opportunity for our customer, and they are happy to share some of that value that's created with us. And it's a relatively low-cost solution for us because it's about us utilizing the data that's coming from the pallets and the sophisticated trackers. So that's what it is. And we'll tell you a lot more about it when we get to Investor Day. I think it's very exciting. It's very small at the moment. So we don't want to get ahead of ourselves, but it's one of those areas where I think we can grow the business and it's one where it's not cannibalizing our existing business, so it really is a new add-on. But again, early days. And this is something, again, that we – this is exactly the thing that we talked about in the Investor Day in September ‘21, where we had an idea it was something interesting. We put a page marker in for the cost, but we didn’t know what the benefit was. So this is the very early signs, it’s an interesting area to develop further, but we’ll talk about it more in a few weeks time.
Operator: Your next question comes from Jakob Cakarnis with Jarden, Australia.
Jakob Cakarnis: Can you just talk through the volume growth in the fourth quarter? I think your commentary at the third quarter trading update was that you expected volume growth in line with your customers. We've seen a lot of the FMCG brands report pretty decent reacceleration in volume growth maybe as some of their own pricing pressure and pass-through rolls off. Can you just talk to, firstly, the shape of that in the fourth quarter and then how we expect that to move through fiscal '25, please.
Joaquin Gil: Yes, no problem, Jakob, and good evening to you. As we touched on, obviously as you cycle that period of inventory optimization from the prior year, then you see a recovery in like-for-like volumes. And to your point about, let's say, other manufacturers, et cetera, for example if you look at U.S. Nielsen, our U.S. volumes are tracking relatively close to those Nielsen numbers for consumer products in the U.S. And so as you look out to FY '25, what we expect is that you'll see growth in like-for-like volume, and we'll also see an improvement in net new wins. We've had a very strong new business pipeline. But obviously historically low whitewood prices have delayed conversions. And so we see that early signs of whitewood pricing at least being flat and starting to increase in some markets. So that gives us also confidence that our rate of conversion should improve as we head to FY '25. So how I look at it is revenue next year is much more -- revenue growth is much more in line with our investor value proposition, where we've said 1 to 2 points from like-for-like or existing customer growth, 1 to two points from net new business and pricing of around 2% to 3%.
Jakob Cakarnis: Awesome. Just one for Graham. Noticing in the LTI framework moving forward that there's been a large step-up in those ROCI gates. I think it's probably adjusting more symbolic with where the business is at. But can you just give us a sense, it doesn't look as though those sales CAGRs have changed much, but the ROCI gates have, I think, consistent with what you're acknowledging today is that the business is generating good free cash flow, maybe sustainably good. Can you just talk us through your discussions or some of the shape just around those ROCI targets as well, please?
Graham Chipchase: Yes. I think, as ever, when it comes to LTI targets, when you've had a couple of years of doing really well then there's the natural requirement to stretch a bit further. So there's an element of we have done well, therefore, we need to make sure they're stretching those targets, otherwise, people are going to start challenging whether the targets are too soft. But I think if you go back to it more, in a more sort of technical way, the revenue one hasn't changed, even though I think we are going to -- it's going to be a bit tough over the next year or so to get to the upper end of those limits. But I think that's fair enough because if you look at the longer term, then those revenue targets are in line with investor value props, so we should stick to those. The ROCI one is an interesting one because I think what we're doing now is we are -- because of the sustained -- the much more structural improvement in free cash flow and the ability to exercise capital discipline, then in theory your ROCI is going to keep going up. But I think we've got to be a little careful that this doesn't then encourage us not to invest in longer-term projects like digital, where the payback might be a little longer in 3 years or whatever it would be to keep on improving the ROCI. So I think where we've ended up is that trying to balance that need for a stretching target, but recognizing that in the medium term we should be investing a little bit more in things like digital. And therefore, one would be very wary if ROCI kept on increasing and extrapolating over a 5- or 6-year period because I think then we should be rightly trying to defend why we're not investing more in the business for the longer term. And that's kind of where we got to. And I think I'm very comfortable with where those grids are in terms of setting a stretching target, but not being ridiculous.
Jakob Cakarnis: Yes. I appreciate that the press and maybe some of the financial advisers have a different opinion on this, but is there anything that we should read to your lack of appetite for inorganic growth? Is that flagging maybe to the market today that [indiscernible] not of interest despite the press reports?
Graham Chipchase: I mean, I wouldn't read too much specific in that. I mean I think the broader context is around inorganic is there isn't much we can do. I mean if you look at our market shares in most countries around the world, there isn't much we can do. And the one that you've quoted is about the only one that we would be silly not to look at. But at the same time, I think we've been very clear over the last 12 months or so, whenever it has been come up in the press that we're not going to do anything that is not -- is going to compromise the -- I hope, well -- now well-embedded view that we exercise capital discipline. And I think that for us is first and foremost. And I think the other way of looking at it is we -- by announcing the capital management initiatives, you do that because you take a view out into the future and you look at your balance sheet strength and the cash flow you aim to generate and the things that you know you've got to invest in for organic growth and things like digital, and you make a decision based on that. And that doesn't mean we can't do a deal if we needed to or wanted to, but it doesn't mean we're doing it either. I mean, I think you've just got to look at it on that basis. Now I think the most important element is you can rely on us to exercise capital discipline, like we did with Costco plastic pallets, the same, I think, would be with any inorganic M&A opportunity. We know that that's what our investors are expecting of us. So we absolutely don't want to compromise that.
Jakob Cakarnis: Great result.
Operator: Your next question comes from Anthony Moulder with Jefferies.
Anthony Moulder: If I can get back to IPEP, probably the most questions you've had on IPEP I had on OPAP. But I just wanted to understand the very strong result in that second half at 45.9. Are you telling us that that's the new normal on a half-on-half basis because it's a very strong improvement for FY '25 that you would be looking into? Or is there a little bit of increase, certainly not going anywhere near back to that first half '24 result, but you said $46 million of IPEP effectively a new norm for -- as we think about half on half of FY '25, please?
Joaquin Gil: Yes. So I think, Anthony, just going back to something I said to one of the earlier questions, again I think looking half-on-half is not necessarily the right way to look at it because of timing of what can change year-on-year. Instead, if you want to look at it in line with how others have been, which is that percentage of sales, what we're expecting is you're at 4.7% in FY '23. This year, it's at 2.8%, then you should expect a small decline in that percentage heading into FY '25 or for FY '25, Anthony.
Anthony Moulder: Right. I understand. So things will go up from that second half '24 level, but still down on whether -- where they totaled for FY '24.
Joaquin Gil: Maybe if I help you, Anthony, at a different way to look at this. I think included in the slide pack you have the glide path on uncompensated losses. If you look at the progress that we've made, obviously this year, and then our commitment was to get to that 30% reduction. So you can see from that slide that we still expect a reduction in the number of lost units. But as I said earlier, that's obviously going to be partly offset by the increase in the cost of pallets that we write off. So that might be another way to help guide you to the FY '25 IPEP forecast.
Anthony Moulder: Right. Okay. And it sounds like it's skewed not so much towards the compensation levels for customers. But am I right in thinking that that's an accounting change, so you might not have received the full benefit of that compensated -- higher compensated loss levels through FY '24 and there is the potential benefit through '25?
Joaquin Gil: No. Look, Anthony, it's not about accounting. For me, the first prize for us is to not lose assets, be able to pass those benefits on to customers. So that's what we always do. And then if we've lost -- if we have suffered a loss, then to be compensated. So I think as I said earlier, the majority of the IPEP improvement has come from a reduction in losses, but there has been some increase in compensation. And just so I cover it off, there's been no change in the IPEP methodology for over 5 years. So I think it's a lot longer than 5 years. But in the time I've been with the business, it's a bit over 5. So again, we're very consistent in our accounting methodologies.
Anthony Moulder: Okay. Question for Graham, if I could, appreciate you're on the Board, the business delivering to invest the capital of over 20%. How do you think about that buyback as opposed to using that capital, some of that capital for greater organic growth? I appreciate you've got 5 million pallet surplus in the U.S., but thinking more broadly around the world as to how do you balance that decision between buying back stock or investing harder for a 20% return.
Graham Chipchase: Yes. I mean I think when we look at the priorities, we always look at the organic growth opportunities first. And that will be not just about growing volumes, it would be about investing in things like automation, investing in digital. So it's the things that can give us operational cost benefits as well as top line growth. So I think that's -- so we go through the process, and that will always be as maxed out as we think is reasonable and is doable with the resources we've got. And the areas where I think we do look a little bit more now are, can we go fast on some of these digital initiatives and the thing we'll talk about around digital customer solutions. That might be somewhere we can go faster. And that is absolutely front and center when we discuss these things at the Board. Then when you've exhausted all those opportunities, you start looking at what to do in terms of the capital management ones. And that's kind of where we got to. And I think just I think -- because I think I've seen a few comments around the $500 million, how did we -- can't we do more than that? Does that send any signals? I think just to be really clear, the $500 million is largely driven by the fact that we can only buy a certain number of shares based on previous volume of trading, and we can't trade in close periods, and that is kind of where we get to the numbers. So I don't think anyone should read anything more than that into that number. But in terms of order of priority, as I said, the first one is always what can we do to optimize organic growth first.
Anthony Moulder: Understood. And lastly, if I could, the net new wins that you talk of in the U.S., you're starting to see those coming from the whitewood conversion as opposed to other poolings.
Graham Chipchase: Yes. I mean I think that’s again where we’re focusing, but I think there might be a few opportunities with some customers who are currently all on red pallets thinking about maybe doing a little bit of dual sourcing as well. So we’re hoping a bit of that might come back in our favor. But the majority of this is all around converting the whitewood back into pooled.
Operator: Your next question comes from Sam Seow with Citi.
Sam Seow: I just wanted to ask on EMEA there. It looks like they had almost an 800 basis point sequential improvement there in volumes kind of fourth quarter on third quarter. I just wanted to check, one, is that correct? And two, just maybe help us understand the drivers is that the underlying markets, that strong net new wins? Or was there an impact in the PCP from the [indiscernible]?
Joaquin Gil: Yes. So thanks, Sam. I think, again, similar dynamics in EMEA and Europe, as we've talked about earlier that obviously we're cycling a period of destocking. And so we had a softer quarter 4 last year. So you see that improvement in volumes. So that's one of the drivers of the improved volume performance.
Sam Seow: Okay. So the market is that strong. There was no kind of adjustment in the PCP at all?
Joaquin Gil: No. So again, no adjustments to the numbers. Again, I think what you've just got to think about is you're cycling a period of destocking. We've talked about that in Europe. Obviously there's at least a 1 point impact from that impact of destocking.
Sam Seow: Got it. Got it. And then Americas, the pricing peers have materially increased as well in the fourth quarter. I just want to get some color there, help us understand the key drivers on that inflection. And if you call out, I guess, anything to suggest that isn't the right exit rate into FY '25.
Joaquin Gil: I think, look, we might need to just take that away, Anthony. From our perspective, pricing again, that new price realization has been pretty consistent within the period. It may be something to do with the comparative. But we talked about that sort of at a group level and applies as you look at Europe, around about that 3% in new pricing. So that's the sort of number. But sometimes it's about cycling particular contracts in particular years, but that's how I think about it, Sam.
Sam Seow: Congrats on the results though.
Operator: Your next question comes from Cameron McDonald with E&P.
Cameron McDonald: So to start with the capital management framework, Graham, if I can. And then so if we think about what you've said so far with the pro forma gearing at 1.35, I think you've said inclusive of that buyback. And then the guidance that you've given already does look like you'll continue to dig into FY '25. How do we think about the ongoing likelihood of capital management as leverage continues to fall?
Graham Chipchase: I'm going to have to give you the very unhelpful answer, which is we have, this is a Board decision which we will discuss this time each year and then announce this time each year what the plans are for the following year. Now I think it's fair to say that if we are continuing with this level of free cash flow and aren't seeing any significant incremental opportunities for organic growth or any other sort of growth, then clearly there are only 2 places we can get that cash to, so either going to be more dividends or it will be more buybacks. And I think what I always prefer doing is if we can do a mixture of the 2, but that just depends on where we are at any given point in the process. And I think the value for -- and the reason we wanted to put the capital management framework into the investor value prop is to at least give the signal that is now something that we are considering every single year going forward. But we don't know what the answer is going to be every single year. So I think you can sort of -- I think one can draw one's own mathematical conclusions from those gearing limits and where we are now. But at the same time, you would expect us to be reasonably prudent to and not sort of go absolutely bang out to the max every time we can -- because life is very uncertain, markets are very volatile at the moment, et cetera, et cetera, et cetera. So it probably doesn't help you too much, but it might give you a bit more flavor around how we're thinking about it.
Cameron McDonald: Yes. And then just in terms of the outlook, you've got 400 and 500 basis points worth of margin expansion embedded in the outlook. How do we -- so traditionally, that's sort of been closer to 2% to 3%, as we roll forward into FY '26, would you -- should we be expecting that, that leverage comes back down into that normal range?
Joaquin Gil: Cameron, I'm going to borrow one of Graham's lines, if I can, and I'm going to be unhelpful here and say, look, we really only give FY '25 guidance. But I think, obviously we've got an Investor Day coming up, and we'll give you a bit more color as to post FY '25, the shape of both profit growth and investments and cash flow. So if maybe we can hold that one over to Investor Day.
Cameron McDonald: Yes. Okay. Because I mean, clearly, you did previously have sort of goalposts out there from the last Investor Day as well.
Joaquin Gil: Yes. And I think a couple of things. As you said, we had some goalposts out there. And again, we are committed to our investor value proposition, which says, over the medium term, we will deliver operating leverage.
Cameron McDonald: Okay. And then sort of last question just on the outlook. You are guiding to some volume growth, but you're expecting it to be second-half weighted. What gives you the confidence that, that second half is coming -- going to come through relative to your caution around the first half?
Joaquin Gil: So I think that second half weighting was in relation to net new business wins. And that's based on really just the environment. One, as we see whitewood prices, our view is will increase throughout FY '25. So that will help the conversion rate of white to pooled pallets. And then on like-for-like volumes, we're obviously going to cycle the destocking throughout the year.
Cameron McDonald: No, I get the destocking thing, but -- so how long does a normal, on average, does it take to contract someone from whitewood to pooled? And because what I'm trying to get to is this -- are these conversations that you are going to convert in the second half, are these conversations that are currently underway? Or are these conversations that are yet to commence?
Joaquin Gil: Yes, I'd say probably a combination of both. So we have a very strong pipeline, and it takes time to convert, and that really depends on an individual customer. So for small to medium enterprises, sometimes it takes a long time to build a relationship with customers. That's why forecasting is particularly challenging in this area. But I think what gives me comfort about that is we do have a very strong new business pipeline in Europe and the U.S. in particular. And so it's a combination of existing customers who are going to expand lanes and convert their whitewood to pooled. And then also SMEs that we will convert.
Cameron McDonald: Just as an extension of that, working -- while I've got the floor, how many salespeople do you actually employ?
Joaquin Gil: Look, I think, again, we’ve got a range of commercial people and it is difficult in terms of where you want to draw that line, right? So we have people who visit customers, we’ve got a customer service team, you’ve got asset protection people and productivity people. So I think what I would say is – and it’s a variety of selling techniques. It’s, one, a combination of people. You also – we have myCHEP. So how I would look at it is that one of the real benefits from the transformation program is that we’re investing in key areas of the business, one, improving customer service, growing the value proposition, as Graham talked about in digital. So I think you’ve got to look at it a bit more than just number of people on the street when you think about our opportunity just grow new business.
Operator: Your next question comes from Scott Ryall with Rimor Equity Research.
Scott Ryall: I have a question. First one is hopefully relatively easy. In terms of -- obviously you've had to purchase fewer pallets this year for the reasons that you've well discussed. I'm wondering, do you expect still to get many pallets back over the course of the next 12 months? And in terms of the pallets that you're -- that you are purchasing and building virgin pallets, are you having any issues around availability, please?
Joaquin Gil: So coming to your first question, Scott, you might just need to remind me, sorry, I just lost my train of thought there. Your question was around --
Scott Ryall: That is all right. I do it all the time. Are you expecting -- you had 12 million or so pallets come back this year. Are you expecting many to come back over the next 12 months? Or is that kind of done now?
Joaquin Gil: Yes. Certainly, in Europe and the U.S., what we're saying is that we think that's largely complete, probably the only market where we're expecting a little bit more destocking is in Australia. And then I think we're not struggling for access to new pallets. I think just what's really pleasing across the business is the improvements in asset productivity, cycle times, reduction in loss rates means that we're needing to purchase less pallets than we have in the past.
Scott Ryall: Yes. No, no, I get that. But in terms of the ones you do have to purchase, I mean, there's been some talk about lumber mills struggling financially and things like that. You're not having any problem with capacity of lumber mills to deliver what you do need, which is admittedly less than what you have needed?
Graham Chipchase: No, I mean, absolutely not. And I think if you remember also, some of the deals we did 4, 5 years ago with -- in particularly in the U.S., have put us in quite an attractive position in terms of priority with those mills. And the flip side of it is we're supporting those mills by giving them some guaranteed volumes. So we don't anticipate any problems there.
Scott Ryall: Okay. Good. And then the second question, this is probably for you, Graham. I mean, you have over the last few years, even though there's more to go, as you say, the step change in asset efficiency, cash flow, et cetera, has been extraordinary, if I can put it that way. But what do you think is a customer noticing that's different from CHEP at the minute? And maybe over the next 2 or 3 years, what are you hoping the customers notice? I get you talked a little bit about scratching the surface on digital solutions, but I'm more meaning just in terms of the core offering that CHEP gives to your customer base? What are you hoping that they noticed already? And what do you think they'll notice over the next 2 or 3 years?
Graham Chipchase: So I think what they have noticed already, and you can see it in the NPS scores is that we're delivering on time better. Now you could argue that some of that has been because there are more pallets available. And I think that would be a fair comment. But what we're seeing is that we are going beyond that now, and that's -- and our focus on delivery in full on time is absolutely making a difference. So I think that's one thing. And at the most basic level, what our customers want is to get the pallet they've ordered, where they ordered it, when they ordered it and in a fit state to be used. I mean it's not much more complicated than that. So I think the focus on delivery, there's a focus on quality, which again, again, we're seeing the feedback from customers both directly and indirectly from people who go out and do surveys in various markets that people are now noticing that our quality is good. I think there's a challenge ahead there, which is as more and more manufacturers and particularly retailers go to automated DCs, there is a quality of pallet that's required to ensure it works seamlessly in an automated environment. And we're working really hard on trying to make sure that, that is something we can deliver. I think then there's the bit addressing the stuff, which has always been a bugbear with Brambles around the ease of doing business. So it's putting a lot of effort into things like myCHEP and to delivering a much more seamless experience for our customers and trying to help them as well as, so proactive ordering and giving them more insight as to what is going on in the markets that they can manage their supply chains better. That is beginning to start having some traction where giving people advanced notice of when we're coming to pick pallets up or when we're going to deliver them. We're beginning to see that actually start flowing through into some of the metrics. I think we can go a lot further than that. And this is where some of the things that we are experimenting with in terms of getting away with the audit process and just complete doing away with all that cost and time and effort to verify who's got which pallets where. That is something that we can get that to work is going to be really exciting. And we will be in a unique position to deliver that for customers compared to anybody else. So I think there's still a lot of stuff to do. And it's -- you're right, it's not just the digital customer solutions, the sort of the bolt-on really exciting stuff. This is also going to change. I think if we get it right, the way that people see the pallet providers and the pallet business of the future. I think on top of that, if you can start giving more insights and helping them reduce waste generally or make the supply chains more efficient, great. And we’re also putting a lot more focus on showing our customers how using our pallets can help them with their sustainability targets. So showing them that it can actually reduce emissions and help them too. That’s something we’ve always known is important, but we’ve not really gone on the front foot as hard showing why we can help more than anybody else because of our sustainability credentials. So I think there’s a lot of exciting stuff to come on the customer piece.
Operator: Your next question comes from Ian Myles with Macquarie Research.
Ian Myles: Just on the Shaping Our Future transformation costs and CapEx, how you sort of see those being sustained or are they going to actually all the way get the permanent sort of costs given technology tends to only have a life of circa 3 to 4 years?
Joaquin Gil: Thanks, Ian. Look, I think as we get to Investor Day, we'll give you a bit more of a shape on the outlook in terms of -- certainly, as Graham's touched on quite a bit today. From a digital perspective, we see there's obviously, depending on the success of some of the pilots that are underway, obviously continued investment in that area. And then you're right, some of the initiatives are more -- that were part of the transformation are more becoming BAU or business as normal. As Graham, I think, touched on, they've become embedded in the business and the way we do business today. But also there still is investment to go into customer service and improving our interactions with customers. So I think that's something we'll give you more of a flavor for at Investor Day.
Graham Chipchase: So everybody, thanks very much for your questions. I'm sure we'll be seeing some of you in the next couple of days and/or Investor Day. We look forward to that. But as I say, we're very, very proud of these results. Really happy with the progress on the transformation program and how it's translating into this, a much more resilient and structurally better business demonstrated by the cash flow and the capital management initiatives. So I really look forward to seeing you over the coming days and weeks. Thanks a lot.